Operator: Good day, everyone and welcome to iSpecimen Second Quarter 2022 Conference Call. [Operator Instructions] A replay of today's call will be available on the Investor Relations section of iSpecimen's website and will remain posted there for the next 30 days. I'll now hand the call over to Allison Soss, Investor Relations for introductions and the reading of the safe harbor statement. Please go ahead.
Allison Soss: Thank you, operator. Good morning, everyone and welcome to iSpecimen's second quarter 2022 results conference call. With us on today's call are Christopher Ianelli, iSpecimen's Chief Executive Officer and President; Tracy Curley, Chief Financial Officer; and Jill Mullan, Chief Operating Officer. Before we begin, I would like to remind you that today's call contains certain forward-looking statements from our management made within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities and Exchange Act of 1934 as amended, concerning future events. Words such as may, should, projects, expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements are subject to numerous conditions, many of which are beyond the control of the company, including those set forth in the Risk Factors section of the company's Form 10-K for the year ended December 31, 2021, filed with the SEC. Copies of this document are available on the SEC's website at www.sec.gov. Actual results may differ materially from those expressed or implied by such forward-looking statements. The company undertakes no obligation to update these statements for revisions or changes after the date of this call except as required by law. Now, it is my pleasure to introduce Christopher Ianelli, Chief Executive Officer and President of iSpecimen. Chris, please go ahead.
Christopher Ianelli: Thank you, Allison. Good morning, everyone and thank you for joining us today on our second quarter 2022 earnings conference call. With me are Tracy Curley, our Chief Financial Officer; and Jill Mullan, our Chief Operating Officer. I'll begin by providing an overview of our operational performance, followed by a review by Tracy of our financial performance during the three and six months ended June 30, 2022. Following that, we will open the line to take your questions. The close of the second quarter marks a little over a full year of operations for iSpecimen as a public company. At this time last year, the world and our expectations of what was to come, certainly look drastically different. Yet in many respects today, the outlook remains remarkably similar. Geopolitical unrest, ongoing COVID concerns and a difficult economic environment have reduced near-term visibility for our business. Fortunately, demand for a centralized marketplace to address the inefficiencies of the fragmented biospecimen supply chain remains strong and validates our continued investment in the business. Against this backdrop, we remain intensely focused on fortifying and extending the iSpecimen marketplace platform. Specifically, we've been expanding its capabilities to better support our research clients' needs for sourcing critical biospecimens for medical research, along with making it easier for our growing network of health care providers and biospecimen suppliers to offer their samples and engage with the platform. As discussed during our previous earnings call, in the second quarter of 2022, we introduced the first of a series of updates to the iSpecimen marketplace, each aimed at delivering incremental yet foundational improvements to our software platform that'll align with our long-term strategy. We designed the marketplace search capabilities to make it even easier for researchers to seamlessly identify biospecimens that match their requirements. We also enhanced the platform with new data integration capabilities that simplify the ingestion and maintenance of biospecimen inventories on our platform. To help guide our development efforts, we named Evan Cox to Head of Product in the second quarter. Evan brings decades of health care data experience, having served in a variety of product management leadership roles over the course of his career. While he has only been on board for a little more than a quarter, Evan and his team are prioritizing marketplace capabilities that are expected to increase user engagement with the platform and drive revenue growth. His current focus is on the development of a unified search experience for our customers and our suppliers which will support the search for both biospecimens and research subjects from human biospecimens may be collected prospectively. This capability will help bring higher volume and increased velocity to our sales pipeline, specifically for the prospective collection part of our business which comprised about 25% of our revenue in the second quarter. As part of this process, we have both strengthened our internal technology development team and have hired -- outsourced software development teams to accelerate our time to market with these features. Our P&L going forward will reflect an increased investment in our technology development efforts. Concurrent with our work to enhance our software platform, we have continued to expand our global biospecimen supplier list with the addition of new suppliers that specialize in oncology, cardiovascular disease research. These suppliers and their biospecimen samples are now accessible via the iSpecimen marketplace platform. It is important to stress the significance of the company's efforts to expand and diversify our roster list of health care providers. The supply of biospecimens derived from health care providers, including biofluids solid tissue and hematopoietic cells is what fuels medical research and its various applications such as biomarker identification, biomarker validation, diagnostic test development and drug discovery/development. By ensuring the iSpecimen marketplace remains the premier platform for suppliers of biospecimens, we will continue to be the go-to platform for researchers who need them. And on the topic of researchers, we continue to make investments in the growth of our customer-facing sales team. In the first quarter, we made a strategic decision to change our sales team structure and territory coverage strategy overall to improve productivity and efficiency going forward. Specifically, we moved to a sales pod structure where junior account executives are paired with senior salespeople, along with marketing and operations personnel who all work together as a unified multidisciplinary team. This pod structure has been designed to move more opportunities through our sales funnel. However, the biggest benefit of this structure is that it frees up our senior sales staff to focus on deeper account management, repeat business and on closing larger deals. These efforts are just now starting to pay dividends as evidenced by the recent closing of a $1.9 billion purchase order in late June and an overall return to growth throughout the early stages of our sales funnel. Next, I'd like to touch on the impact that the conflict in the Ukraine continues to have on our business. As we discussed during the Q1 call, the Warren Ukraine disrupted a number of our top suppliers in both Russia and Ukraine. The good news is that many of the Ukrainian sites are now either back or coming back online and offering favorable economics to iSpecimen. The challenge is that they currently have limited capacity and the considerable uncertainty in the region remains. To minimize our risk, we are using our Ukrainian sites cautiously and only on projects where additional suppliers exist. We expect the reduction in the use of these sites will continue to have a modest impact on both the overall value of our purchase orders and on specimen fulfillment velocity against those purchase orders. Additionally, I want to address the overall economic environment and its effect on our business. Our customers are primarily companies involved in the development and commercialization of Diagnostics and Door Therapeutics and many of them are small to mid-cap companies that rely on regular infusions of capital to fund their research and development pipelines. Since early 2022, access to new capital in the biotech/life sciences sectors has plummeted along with company valuations. We believe this has caused many companies to be more cost conscious in an effort to conserve cash until the markets recover. While it's too early to know the extent to which our sales funnel has been impacted by these challenges, we have experienced a reduction in the average size of purchase orders by about 20% over the past six months, meaning we are fielding smaller projects overall which we believe is a function of the economic slowdown. On the positive side, we have also seen a corresponding increase in the overall number of purchase orders which has kept our purchase order value relatively constant in the first half of this year compared to the first half of 2021. I'm confident that the changes we've made to the sales team structure, i.e., the pods will help reverse this trend by allowing our top salespeople to focus more of their time on account management, larger projects and purchase order growth. Finally, it wouldn't be a typical earnings call if I didn't say something about COVID. While COVID specimens now represent a small part of our revenue today, we continue to pay close attention to what a new outbreak could mean for our customers and our suppliers. While we have a geographically diverse supply network and believe that we can maneuver around localized COVID outbreaks, the overall economic disruption caused by COVID may still affect us in the future. That said, at this time, we believe that COVID is not dramatically impacting our business and our ability to source specimens. Despite these challenges during the first half of 2022, we remain confident that the execution of our strategy, along with our investments in technology and key personnel, especially the sales and marketing teams, will continue to improve our position to gain additional market share over the coming quarters. I also believe that our entire leadership team has done and continues to do a great job navigating the challenges of the past two years. We all look forward to realizing the benefits of ongoing development work and the restructuring of our teams and returning to growth. Now, I'll pass the call on to Tracy Curley, who will review our financial results. Tracy?
Tracy Curley: Thank you, Chris. Good morning, everyone. Today, I'll review our financial results for the 3-month and 6-month period ended June 30, 2022, compared to the same period in 2021. We reported revenue of $2.3 million for the second quarter of 2022 compared to $2.9 million for the second quarter of 2021. The decreases in revenue for the three months period in 2022 were primarily attributable to the continuing decline in sales of COVID-19 specimens when compared to the same period in the prior year. During the 6-month period ended June 30, 2022, we reported revenue of approximately $4.9 million compared to approximately $5.9 million during the same period last year. The decreases in revenue for the 6-month period in 2022 were primarily attributable to the impact of the Russia and Ukraine war in the first quarter of 2022 which shut down our supply sites in those regions and impacted our ability to fulfill orders at the start of the war and a continued reduction in sales of COVID-19 specimens when compared to the same period in the prior year. We anticipate that our COVID-19 revenues will continue to decline but do not have specific guidance on the decline due to the uncertainty of the continued impact of COVID-19 that Chris just spoke about. For the three months ended June 30, 2022 and 2021, revenue derived from specimens related to COVID-19 accounted for approximately $170,000 and $896,000, or 7% [ph] and 31%, respectively, of our total revenue. For the three months ended June 30, 2022 and 2021, revenue derived from non-COVID-19-related specimens accounted for approximately $2.2 million and $2 million or 93% and 69%, respectively, of our total revenue, an 8% increase in non-COVID'19 revenue compared to the same prior year period. Specimens accessioned during the three months ended June 30, 2022, increased by 738 specimens or 12% to 7,004 specimens compared to 6,266 specimens accessioned during the three months ended June 30, 2021. However, there was a change in specimen mix that resulted in a decrease in the average selling price per specimen of approximately $130 or 28% compared to the same prior year's period. For the six months ended June 30, 2022 and 2021, our revenue derived from specimens related to COVID-19 accounted for approximately $649,000 and $1.6 million or 13% and 27%, respectively, of our total revenue. Specimens accessioned during the first half of 2022 increased by approximately 544 specimens or 5% to approximately 11,928 specimens compared to approximately 11,384 specimens a session during the first half of 2021. However, a change in specimen mix resulted in a decrease in average selling price per assessment of approximately $132 or 26% compared to the same prior year's period. Cost of revenue decreased by 33% from approximately $1.5 million for the second quarter of 2021 to approximately $1 million for the second quarter of 2022. Cost of revenue for the 6-month period ended June 30, 2022, was approximately $2.2 million compared to approximately $3.1 million for the same period in 2021, a decrease of 30%. The second quarter 2022 decrease was attributable to a 40% decline in the average cost per specimen impacted by specimen mix, offset somewhat by a 12% increase in the number of specimens accessioned for the current period compared to the same prior year's period. The 6-month period ended June 30, 2022, decrease was attributable to a 44% decline in the average cost per specimen impacted by the specimen mix, offset somewhat by a 5% increase in the number of specimens accessioned during the six months ended June 30, 2022, over the same prior year's period. For the second quarter of 2022, we increased our cash spend for technology to approximately $807,000 from $351,000 for the same prior year's period. For the 6-month period ended June 30, 2022, we increased our cash spend per technology to approximately $1.4 million from $740,000 for the same prior year's period. Increase in spend for the 3-month and 6-month periods ended June 30, 2022, compared to the same prior year period is directly related to our commitment to investment in our technology as evidenced by our recent launch of our enhanced iSpecimen marketplace platform. For the second quarter of 2022, this cash outlay was comprised of approximately $438,000 of capitalized internally developed software and approximately $369,000 of technology expenses that we were not able to capitalize and therefore, classified as technology expense. The remainder of the technology expense for the second quarter of 2022 was comprised of approximately $267,000 of noncash amortization related to internally developed software. Total technology expense for the second quarter of 2022 was approximately $636,000. For the 6-month period ended June 30, 2022, this cash outlay was comprised of approximately $777,000 of capitalized internally developed software and approximately $630,000 of technology expenses that we were not able to capitalize and, therefore, were classified as technology expense. The remainder of the technology expense for the 6-month period ended June 30, 2022, was comprised of approximately $533,000 of noncash amortization related to internally developed software. Total technology expense for the 6-month period ended June 30, 2022, was approximately $1.2 million compared to $772,000 for the same prior year period. Sales and marketing expenses were approximately $901,000 for the second quarter of 2022 compared to approximately $648,000 for the second quarter of 2021. For the 6-month period ended June 30, 2022, sales and marketing expenses were approximately $1.7 million compared to approximately $1.2 million during the same prior year's period. Increase was attributable to increases in payroll and related expenses, external marketing efforts and general operating expenses. General and administrative expenses were approximately $1.6 million for the second quarter of 2022 compared to approximately $1.5 million for the second quarter of 2021. For the 6-month period ended June 30, 2022, general and administrative expenses were approximately $3.4 million compared to approximately $2.5 million during the same prior year period. Increases were primarily attributable to an increase in costs related to compensation, noncash stock compensation, directors and officers insurance and other operating and maintenance expenses. As of June 30, 2022, our cash balance was approximately $23.7 million compared to approximately $27.7 million as of December 31, 2021. This concludes our prepared remarks. Now I would like to open the call for questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from the line of Matt Hewitt with Craig-Hallum Capital Group.
Matt Hewitt: Maybe first up, you mentioned that you continue to plan on incremental investment on the tech side. I'm just curious, as you look out over the next year or so, what are some of the areas that you expect to enhance on the platform?
Jill Mullan: Yes, this is Jill Mullan. I’ll take that. So we’re really looking at how do we integrate what we call unified search which is bringing the search for biospecimens as well as the search for patients together in one interface. So today, if you go to our marketplace, you can search for specimens that exist in biobanks or clinical labs. But if you want to do a prospective collection from a patient, you basically tell us what you’re looking for and we go out into our network to see if they have it. The unified search will allow users to go in and type in their criteria or use the checkbox and sliders to enter their criteria and get a view immediately into what’s available in our network in terms of patient encounters, more likely patient encounters. So that’s the big feature we’re working on. It requires doing some work on the database to integrate it all together and then to make those capabilities available to the researchers.
Christopher Ianelli: And just to add, Matt, to what Jill just said, the unified part of Unified search is that over the years of us evolving our technology here inside the company. It's evolved in silos where we have had one set of technology illuminating access to clinical remnant specimens, for example, in clinical laboratories and another technology, another silo that would look at inventories of biobanks. It's -- we think it's time for us to now put that onto a single platform so that we can allow a customer to search in all those environments with the same sort of uniform experience.
Jill Mullan: Including the patient.
Christopher Ianelli: Including patients.
Matt Hewitt: That’s great. Maybe regarding your commentary regarding, obviously, the geopolitical headwinds, that was – it sounds like it was more first quarter versus second quarter but I’m assuming they’re still there. And then regarding the economic impact. Thank you for the details that you’re seeing on the smaller customer side but I’m wondering if there’s a way to kind of elaborate on to, I guess, one, what – is there a way to quantify maybe what those headwinds are from a dollar perspective or from an order size perspective? And then secondly, as you look out at the back half of the year into next year, do you – how do you see those headwinds may be subsiding? Or could they, at some point, create this backlog of orders that you would expect to see?
Tracy Curley: We're not giving guidance on that. We dealt swiftly in Q1 when the war started with existing purchase orders that we had anticipated being filled by our supplier sites in the Ukraine or Russia. We are -- even though our Ukraine sites are coming back online, we are very cautious because, as you know, the war is still going on. So we don't have any hard numbers and we certainly are not sole sourcing APO in the Ukraine like we did in the past. So there are things that we're doing that are more addressing the risk associated with that. Jill, do you want to add any more to that?
Jill Mullan: Yes. I think we said in the first quarter that we had about $1 million worth of purchase orders that were affected at that time. And that doesn't mean it was all revenue that was expected in the first quarter because some of those purchase orders collected over multiple periods. As we entered 2Q with the Ukrainian sites still either slow down or not operational. What that did is it impacts feasibility assessment and the ability to send orders their way. So that's why we say there's some lingering effect there. But at the same time, we've been looking to, like how quickly can we augment it with other sites that have equally good economics and are over in those areas of Europe to be able to support the same sort of project. And we've added sites in, let's say, Turkey, Armenia, Estonia. So we're looking to augment those sites so that we can continue to like I said, get the same economics in the same region.
Matt Hewitt: That’s very helpful. And then maybe one last one for me and I’ll hop back in the queue. But obviously, a strong performance in the quarter on the gross margin side. You went through some of the details there. Just how should we be thinking about that over the back half of the year, is that 57% sustainable? Or is it completely dependent upon mix? And so it’s hard to kind of point to a range even.
Jill Mullan: So we generally are shooting for margins that are in the 50% to 60% range. This quarter came in better than that in large part because of specific projects and their mixes. So I think going forward, you'll see it's pretty consistent with how it's been. It may be lumpiness based upon projects.
Tracy Curley: I would like to say, you might remember last Q3, we did discuss the fact that we had modified the way we were calculating our cost of revenue because our reporting have gotten more precise internally and we were able to get more accurate with that. And so part of that lower percentage for cost of revenue to revenue ratio is a direct result of that. And so you’ll continue to see that as well.
Operator: Our next question comes from the line of Constantine Davides with EF Hutton.
Constantine Davides: Chris, the large purchase order you called out. I was wondering if you could just expand a bit on that. What type of company was it? Was it a new or existing customer? And I guess, what enabled you to identify and ultimately capture an opportunity like that?
Christopher Ianelli: I'll let Jill give some of the details but I'll answer part of that, Constantine, that it was a little bit of both. It's a new customer for us in terms of it being a new entity buying from us. But as you and all the others on the call already know that there's -- people rotate through different life science companies and it's an audience that you may serve them in one company and they may reappear in another company. So we've done a good job of maintaining those relationships. So I say that they're somewhat of an old customer because we've worked with these folks before and have done well in their prior companies and they have followed us with this new company in this new project. I'll let Jill speak more to the details of what it is to the extent she can.
Jill Mullan: Yes. So I can say that it’s a prospective collection. And it’s oncology related which is pretty typical for those prospective collections. It’s a long-term project. So it will be collecting over the course of the next year plus and I think one of the big reasons that we want it is that it’s very data intensive and it’s a hard project to do. But because of our technology and our data team and the data capabilities that we have, we’re able to handle it.
Christopher Ianelli: And it does exemplify, Constantine, what we're trying to harvest more of with the pod structure that we're going to, to free up the senior salespeople, to be able to engage in a more consultative fashion with teams to be able to get these larger longer-standing projects. So we're hopeful that this is the first of many more to come.
Constantine Davides: Great. And then just I think you said in your comments, Chris, 25% of the revenue was prospective in the quarter. How does that compare sort of year-over-year? And second and I understand there’s different projects that may hit in a given quarter. But just on average, how much of a pricing and maybe margin differential is there between prospective and, I guess, more sort of classically remnant oriented volumes?
Jill Mullan: Yes. So let me start with the pricing question first. So prospective collections typically are priced at $1,000 on up and it can be a couple of thousand depending upon how complicated the project is and the amount of data that's required.
Christopher Ianelli: For specimen.
Jill Mullan: For specimen or per collection. On the remnant side which the clinical remnant is in the tens of dollars per sample, so $50-ish on up. And then you have in between tissue blocks and archived samples that are typically coming out of pathology or a biobank and those specimens are in the mid- to upper hundreds. So prospective collections tend to be much more valuable than the clinical remnants, obviously. I think the second part of your question was around the mix of prospective versus other projects. And in a typical quarter, or if you look at the average across a whole bunch of quarters, we're typically 10% plus or minus 5% on remnant, so between 5% and 15%. And the rest is typically split fairly evenly between prospective collections and bank's projects which means we're typically somewhere around 40% to 45%, up to 50% prospective as well as banks. So depending upon how much we have in terms of remnants. This quarter, the 25% was low. So that, I think, has impacted the ASPs. And I think Tracy went through them and they were a little bit lower than they typically are. And it's because we lost that high-value part of our mix or at least we didn't have as much of a high-value part of our mix. This big purchase order we just took, as I mentioned, was all prospective and we expect to see that mix shift back to something that is more typical.
Constantine Davides: So is there much of a margin differential? Or does it really just depend on the project?
Jill Mullan: So it depends upon the project. There's not typically a margin differential across our various segments that we look at. They all tend to be in the same ballpark.
Operator: Our next question comes from the line of James Lieberman with Revere Securities.
James Lieberman: Great. It’s terrific to see the progress you’re making in your biosearch [ph] platform and then the increase in customer organizations purchasing from your 21% and the registered research and user grew up 32%. So it sounds like your reach is expanding. I was also impressed by the $1.9 million order. That’s a very good sign. And I wonder whether you can comment, you see this reaching some sort of a tipping point where suddenly it’s an aha moment out there. Obviously, it’s not a magical thing. You’ve got to do a lot of contact. But is that something that could happen where you see like multiple multimillion-dollar type agreements like you’ve just signed?
Christopher Ianelli: I'll -- thank you for the comments on the question, Jim. So we're probably all going to chip into the answer here. I'm going to say we do envision a tipping point. The image that's in my mind is we have all of these efforts underway from restructuring and fine-tuning, the processes of our sales and marketing teams, investing heavily in Evan Cox's leading product management, platform product management for us and the tech team as well, there's going to be a convergence of capabilities that come out, hopefully, in sync with recovery in the life science markets and some more buying activity. So I do think that we do get to that tipping point. And that's really what's driving what we're doing all these things for us to drive it towards that convergence where we can be more consultative and demonstrate to potential customers, we have the ability to do these large projects far better than any of our competitors given the tech platform and the way that we go about sourcing from our network. I'll let Jill and Tracy add to that as well.
Jill Mullan: I think you covered it pretty well.
Tracy Curley: I don't want to be any down here but obviously, all of these initiatives do cost money. And so you've probably noticed that our expenses are a little bit up in Q2 this year compared to Q2 last year. We are managing our expenses very closely and carefully as we are progressing in these initiatives that do increase costs.
James Lieberman: I feel that the way in which you’ve structured and prepared and – your company and the kind of outreach that you’re doing and the resources that you have, certainly, it’s been a very strong competitive position and I’m excited about the upcoming goals that you’re going to be having.
Christopher Ianelli: Thank you, Jim. We're all confident. We never anticipated this to be a fast build. It's a difficult market and a difficult business model that we've embarked on to do what we do in the absence of creating large inventories like the commercial biobanks with which we compete. But we're all confident that there is a market there and that we have a solution we hear from our customers all the time that resonates with them and that -- we'll get to that tipping point. So thank you.
Operator: Ladies and gentlemen, there are no further questions in the queue. At this time, I'll turn the call over to Mr. Christopher Ianelli, CEO and President, for closing remarks.
Christopher Ianelli: All right. Thank you, operator. I’d like to thank everybody again for joining us on today’s call and for your continued interest in iSpecimen and the good questions that we got at the end of our remarks. We look forward to having follow-up conversations with many of you and seeing you at upcoming events. So please do reach out to any of us or to the team at KCSA that represents us for Investor Relations. And with that, we’ll wrap it up. Everyone, have a great day. Thank you.
Jill Mullan: Thank you.
Tracy Curley: Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.